Operator: Good afternoon and welcome to the Universal Display Third Quarter 2013 Earnings Conference Call. During the presentation, all parties will be in a listen-only mode. Afterwards you will be invited to participate in a question-and -answer session. As a reminder, this conference is being recorded today, November 7, 2013. I would now like to turn the call over to Darice Liu, Director of Investor Relations. Please go ahead.
Darice Liu: Thank you, Lara, and good afternoon, everyone. Welcome to Universal Display’s third quarter earnings conference call. Joining me on the hall today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins, let me remind you that today’s call is the property of the Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display’s website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, November 7, 2013. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, such as those relating to Universal Display Corporation’s technologies and potential application of these technologies. The company’s expected results as well as the growth of OEM market and the company’s opportunities in that market is included, but are not limited to statements regarding Universal Display’s beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display’s actual results to differ from those projected. These risks and uncertainties are discussed in the company’s periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company securities. Universal Display disclaims any obligation to update any of these statements. Now I’d like to turn the call over to Steve Abramson.
Steven V. Abramson: Thanks Darice and good afternoon to everyone on the call today. In our third quarter of 2013, Universal Display delivered another set of outstanding results with revenues of $32.8 million, operating profit of $4.2 million and earnings of $0.12 per share. Universal Display is not only benefiting from new OLED capacity but also the adoption of our green emitters and green hosts. As a result of this expanding commercial material portfolio, our revenue opportunity for substrates has grown tremendously. This was evident during the quarter as material revenues achieved record levels of $30.3 million increasing a 11.6% sequentially from the second quarter of 2013. Turning to the OLED industry. During the quarter, the industry group gained quite a bit of growth including commitment toward larger generation OLED TV investment as LG display held in commemoration for the conversion of a Gen-8 LCD light OLED. New Taiwanese production as AO begins to ramp up 4.5 lines. The advent of commercial and portable displays both LG and Samsung advanced their OLED product roadmap to now include for portable display, which we believe are foray in to the spectacular world of flexible displays, meeting the eventuality of a fully foldable, bendable and rollable commercial display, which can only be created with OLED materials. The development of the wearable display market with OLEDs smart watches and plans to broadened OLED displays into the mid-end smartphone market. As the display market continues to ramp commercial production and the lighting industry continued to build up its developed work, we believe that this is just the beginning for the OLED industry. During the quarter, there were two patent opposition decisions, European patent EP395, L2MX composition a better patent and Japanese patent JP024 one of our early faster [indiscernible]. EP395 and JP024 are two of the more than 60 patents issued world wide that cover four early fundamental thought for us OLED invention, with the latter ones not meant to expire until late 2020. We were pleased that the European patent office and the Japanese IP High Court appealed the novelty and validity of the invention in our patents. For EP395, the EPO affirmed the basic inventions and broad patent coverage, but narrowed the scope of the original plays. After JP024, the Japanese IP High Court reversed the Japanese patent offices prior invalidation of the patent broad claims and remanded the matter back to the JPL. More details can be found in our 10-Q. Regarding recent questions about patent oppositions, oppositions to our patents have been ongoing for years and we expected to continue, business to be expected for any IP company with fundamental IP. The bottom line is a one decision favorable or unfavorable for any one patent in any one jurisdiction is not expected to impact our commercial business or existing agreement. With over 3000 issued and pending OLED device, our architecture and material patterns worldwide, a number that is growing. We have built an extensive global IT framework. This is did not only fortify our licensing and materials business model for decades to come but to ensure that the trajectory of our future is be defined by any one pattern or decision. Now for the review of third quarter operations, I’ll turn the call over to Sid.
Sidney D. Rosenblatt: Thank you, Steve. And again, thank you everyone for joining our call today. Let me review our results for the third quarter in more detail before commenting on our 2013 guidance. Universal Display had another great quarter. In the third quarter, we achieved record material revenues, strong operating profit and healthy earnings. Revenue for the third quarter of 2013 were $32.8 million compared to third quarter of 2012 revenues of $12.5 million. Two major factors driving our revenue growth were increased manufacturing capacity by our customers and the adoption of our green emitter and host materials. Total material sales were $30.3 million in the third quarter of which developmental was $2 million and commercial was $28.3 million. The breakdown of commercial material sales by color for the third quarter of 2013, the prior quarter and the comparable year ago quarter are, green emitter sales were $13.6 million in the third quarter, up 4% sequentially from the second quarter’s $13.1 million and up year-over-year from 2012 $1.1 million. Due to the strong volume run rate, we did have volume pricing pressure in the quarter. This is in line with our prior commentary. We believe though that we are nearing the tail end of our agreed upon cumulative volume price break. Green host sales were $11.2 million in the third quarter, up 24% sequentially from the second quarter $9 million and up year-over-year from 2012 $1.6 million. Red emitter sales were $3.4 million in the third quarter, down 4% sequentially from the second quarter $3.6 million and down year-over-year from 2012 $3.7 million. Red volumes were up in the quarter and we believe that we have reached tail end of our agreed upon cumulative volume price break. Our third quarter 2013 royalty and license fees were $1.5 million, which is not include the Samsung license fee. The Samsung license fee which is expected to be $40 million in 2013 is recognized in the second and fourth quarter of the year. Material costs in the third quarter were $9.8 million, sequentially up from the second quarter’s $8.3 million. The increase is related to higher volumes in product mix. Third quarter material gross margins were approximately 67% down sequentially from the second quarter approximate 70%. This is attributable to product mix and volume price reductions. Third quarter operating expenses excluding cost of materials were $18.8 million, slightly down from last quarter’s $19.3 million, but up year-over-year from 2012 $17.5 million. We expect the full year operating expense is to increase approximately 10% year-over-year. This excludes material costs and amortization of $11.6 million associated with the FUJIFILM Corporation OLED patent portfolio which we acquired in the third quarter of 2012. Operating income was $4.2 million for the third quarter of 2013 compared to an operating loss of $6.1 million in the third quarter of 2012. We incurred a tax benefit of $1.1 million in the third quarter, this was primarily due to an increase in the projected, estimated income not subject to – withholding taxes. As a result it reduces the estimated annual effective tax rates for the year-to-date, our fourth quarter 2013 taxes will include a reversal of the reserve of our NOLs, which will translate into a one time tax benefit. Full third quarter of 2013, we’ve earned $0.12 per share of net income compared to a third quarter 2012 loss of $0.12 per share. Sales across our host and materials contributed to this quarter’s healthy profits. Moving to the balance sheet, we ended the third quarter with $248 million in cash and short-term investments up from June quarter, $245 million. Operating cash flows for the quarter was a positive $7 million and for the first nine months of the year, $22.6 million. Now to our 2013 guidance, based upon the healthy growth of the OLED market and adoption of our green emitters and host material, we are raising our full year’s guidance. We now expect our 2013 revenues to be in the range of $142 million to a $144 million versus our prior guidance of the high end of our $110 million to $125 million range. We are near the end of 2013, the company has achieved extraordinary growth and we believe that the growth will continue as new manufacturing capacity ramps, new players and enter the commercial markets. Now let me turn the discussion back to Steve.
Steven V. Abramson: Thanks Sid. The growth of the OLED market in just the past three months since our last quarterly conference call has been remarkable. We’ve seen a debut of components and displays utilizing new substrates, the introduction of variable displays nearly spot launches and new 4K OLED TV prototypes. We believe this is indicative of the commitment towards investing in and expanding the product roadmap to transition OLED technology into the mainstream, it is indeed an exciting time for the OLED industry and for Universal Display. On that note, operator let’s start the Q&A.
Operator: Thank you Mr. Abramson, ladies and gentleman we will now begin our question-and-answer session (Operator Instructions) We will take our first question from Brian Lee with Goldman Sachs.
Brian K. Lee – Goldman Sachs & Co.: Hi guys, thanks for taking the questions, I guess first off, it seems like there has been some Q4 seasonality in your materials revenue the past few years and that’s also impacting this Q4 based on the guidance, I’m wondering if there are any other factors that play impacting the materials revenue year-to-year for Q4?
Sidney D. Rosenblatt: We expect Q4 material sales to be principally impacted by lower fab production rates exclude the seasonality year end inventory levels being managed and pricing breaks. We expect the volumes to pick up in 2014.
Brian K. Lee – Goldman Sachs & Co.: Okay And when you guys talked about the cumulative pricing rates, can you remind us again, are there separate pricing break for red emitters and green emitters, or based on your commentary, it sounds like there are cumulative across both material types, just wanted to clarify that?
Sidney D. Rosenblatt: That is correct.
Brian K. Lee – Goldman Sachs & Co.: Okay.
Sidney D. Rosenblatt: So it’s for each independent material the necessary cumulative price increase, but that’s our threshold.
Brian K. Lee – Goldman Sachs & Co.: Okay. Okay, great. And then I guess my last question if I can squeeze the sentence, just wondering if you can comment a bit on the extent of the relationship interaction you have with Apple, I know you don’t about customers that much, but the reason I ask is, it seems like they recently become a lot more aggressive in funding their supply chain and if you look at their CapEx plan for next year, it’s moving up quite significantly and offer supply chain purpose, so I just wanted to hear any cakes you might have there? Thanks, guys?
Sidney D. Rosenblatt: Brian, we really can’t comment, Brian we really can’t comment on Apple, I mean…
Brian K. Lee – Goldman Sachs & Co.: Fair enough.
Sidney D. Rosenblatt: They have to go to Apple.
Brian K. Lee – Goldman Sachs & Co.: Fair enough. Thanks, guys.
Sidney D. Rosenblatt: Thanks, Brian.
Operator: Our next question comes from the line of Vish Shah with Deutsche Bank. Please go ahead.
Vish B. Shah – Deutsche Bank Securities, Inc.: Yes, hi, thanks for taking my question. Just wanted to clarify your comments on pricing breaks that have been, do you think about going forward on a – in 2013 deposition, also 2014 what kind of price reductions are we looking at for a customer? And also can you just talk about the assumptions in the fourth quarter in terms of the mix of green and red material sales, as well as host your guidance? Thank you?
Steven V. Abramson: Well, as we said in the script, both of the materials are at the end, the green material and our red materials are at the end of the price breaks. So we don’t expect to see much more in terms of version of pricing. In terms of the mix, we really don’t talk about that. We do think that there will be some seasonality, but we really don’t breakout one color versus the other color. I suspect to be in line, we’re going through the red materials and the green materials and the host material in the quarter and I see no reason to expect that to change.
Vish B. Shah – Deutsche Bank Securities, Inc.: Okay, that’s helpful. And then you’re going to recognize $40 million of license revenue this year and from Samsung, so can you talk a little bit about, how that agreement is going to – how that agreement is evolving and how should we think about licensing revenues in 2014 from Thomson, as well as some of the other key customers out there?
Unidentified Company Representative: I mean, with Samsung, we believe the current trend will continue, with other one, we’re still in the process of negotiating, we really can’t talk about that until we complete the negotiation.
Vish B. Shah – Deutsche Bank Securities, Inc.: So as far Samsung, you mean you are seeing 30%, 40% of growth in license revenues year-over-year, is that the kind of run rates we should be looking at in 2014?
Unidentified Company Representative: 2012 was $30 million and this year it’s $40 million. So I mean I think just to look at the trend and that what we expect from Samsung.
Vish B. Shah – Deutsche Bank Securities, Inc.: Okay.
Unidentified Company Representative: We’ll talk about it in the next call.
Vish B. Shah – Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: Our next question comes from the line of Osten Bernardez with Cross Research. Please go ahead.
Osten Bernardez: Good afternoon and thanks for taking my questions. I guess, to begin I wanted to get a feel for your tick on the when you say about the MD price spreads, are you seeing that there is potential for incremental to get not as significant price spreads going forward because I’m not sure whether you are just being careful with your wording or you actually happy at for some of these price spreads?
– Cross Research: Good afternoon and thanks for taking my questions. I guess, to begin I wanted to get a feel for your tick on the when you say about the MD price spreads, are you seeing that there is potential for incremental to get not as significant price spreads going forward because I’m not sure whether you are just being careful with your wording or you actually happy at for some of these price spreads?
Unidentified Company Representative: I’m sorry Austin, your question getting. Can you repeat your question please?
Osten Bernardez: Sorry, with respect to the future price downs of your product based on volume, you stated that you are nearly end and or approaching the end, I wanted to know what is the room for future price downs and how – are we at a point where each price downs are not going to be as – as be dense or are you truly at the end of future volumes discounts?
– Cross Research: Sorry, with respect to the future price downs of your product based on volume, you stated that you are nearly end and or approaching the end, I wanted to know what is the room for future price downs and how – are we at a point where each price downs are not going to be as – as be dense or are you truly at the end of future volumes discounts?
Unidentified Company Representative: We are pretty close to the end of the volumes discussed.
Osten Bernardez: Okay and then thinking of 2014, if you can what’s your take on where the split for especially for your host materials can be given that the green host materials do relatively earlier in its life, but there is potential for competitive adoptions.
– Cross Research: Okay and then thinking of 2014, if you can what’s your take on where the split for especially for your host materials can be given that the green host materials do relatively earlier in its life, but there is potential for competitive adoptions.
Unidentified Company Representative: Right now we believe that our material that we will be used for the foreseeable future and there is – obviously there is competition in lots of different things, but we intend to stay in the coast business and the competitor.
Osten Bernardez: Thank you very much.
– Cross Research: Thank you very much.
Operator: Our next question comes from the line of Hendi Susanto with Gabelli & Company. Please go ahead.
Hendi Susanto – Gabelli & Company: Good evening Steve and Sid and congrats on the strong sales in the quarter.
Unidentified Company Representative: Thank you.
Hendi Susanto – Gabelli & Company: My first question is on flexible organic LED display opportunity. So when you sell that materials green and green hose for flexible displays. Will they be new materials and will therefore under new pricing structure or the current pricing bricks? Additionally, that which indicates how much sales went in to development materials for flexibility space roughly?
Unidentified Company Representative: We really had comment on what specific materials are going to be used by our customers in the future. That’s theoretically making a flexible display as the same as making a glass base display.
Hendi Susanto – Gabelli & Company: Okay.
Unidentified Company Representative: From the end of supplier.
Hendi Susanto – Gabelli & Company: Periodically our customers will use similar materials and then it will – they will fall under the current pricing.
Unidentified Company Representative: That’s correct.
Hendi Susanto – Gabelli & Company: Okay.
Unidentified Company Representative: The same material.
Hendi Susanto – Gabelli & Company: And then you have strong sales of green hose materials and green emit materials in the quarter, in the past they were some fluctuation in green hose materials. I’m wondering whether based on Q3 results you are at a point where the green material sales both host emitters reflect stabilize that switch going forward.
Unidentified Company Representative: This is the second full quarter there has been growth in each. I think we still need an additional couple of quarters to really be able to predict and then it was increase volume obviously they have to play in to it, but just because one is up over the other they realistically look at the average of these.
Hendi Susanto – Gabelli & Company: Got it. Thank you.
Unidentified Company Representative: Thank you.
Operator: Our next question comes from the line of James Medvedeff with Cowen & Company. Please go ahead.
James Medvedeff – Cowen & Co. LLC: Good evening and let me add my congratulations on a very nice quarter. So the other licensees that are obviously much smaller at this point. Is there a – the Samsung contract is Q2, Q4 heavy. Is there any terms like that in the other licensees.
Steven V. Abramson: There are no terms like that in any. We have a number of lighting licenses. There is no terms like that. It really is a result of the Samsung negotiations.
James Medvedeff – Cowen & Co. LLC: Okay. And then, a few quarters ago you mentioned a red host material. And you are not apparently selling any of that yet. What is the status of that material and a likelihood for sales?
Steven V. Abramson:
.:
James Medvedeff – Cowen & Co. LLC: Okay. Finally, as the customer improves the recipe, we know that for example, they use a lot more green, we don’t know how much more quantitatively, but they are still using a lot more green than red, which maybe related to the way their pixels are organized or maybe related to the learning curve. How should we think about volumes of green, emitter in green host, say in the sense of an improving recipe by the customer.
Steven V. Abramson: Well, obviously our customers are always trying to improve their recipe, but we also know that, we believe that for the long run, you have to put more green to cope in, into a device in order to get the proper performance. So we do believe that our green emitter sales will always be more in volumes than our red.
James Medvedeff – Cowen & Co. LLC: Okay, thanks.
Steven V. Abramson: Thank you.
Operator: Our next question comes from the line of Jed Dorsheimer with Canaccord. Please go ahead.
Jed E. Dorsheimer – Canaccord Genuity, Inc.: Hi, guys thanks for taking my question. And congratulations on a really strong quarter here.
Steven V. Abramson: Thank you.
Jed E. Dorsheimer – Canaccord Genuity, Inc.: I guess just first, you ticked around I think a few different ways. I just wanted to clarify though, as we look at green has been ramping faster than overall market capacity over the past two quarters here, and I realize that there is only two quarters. But should I read into the comments that the price break is nearing an end, are suggestive that market penetration is – or adoption of green is also getting close to100%.
Steven V. Abramson: Jed, there clearly adopted, there is more of it whether it’s 100%, that’s something that we don’t know the answer, we don’t know specifically which product, and which line it goes into. So we don’t know the answer to that, but it has grown.
Jed E. Dorsheimer – Canaccord Genuity, Inc.: Okay. And then it sounds like you are looking at introducing a red host material which – any update on blue. I have seen some market commentary of one year competitors out there talking about building a facility for phosphorous and blue, but I’m just curious if you could give an update there.
Steven V. Abramson: Sure, Jed. Commercial deep blue for display is a priority work in progress in the company. We have been making progress, but we do not yet have a commercial deep blue. But we would like to note that we do have a light blue for lighting. so we are able to offer a commercial RGB OLED white lighting system for warm light.
James Medvedeff – Cowen & Co. LLC: Thanks, guys and congratulations, again.
Steven V. Abramson: Thanks.
Unidentified Company Representative: Thanks.
Operator: Our next question comes from the line of Jim Ricchiuti with Needham & Company. Please go ahead.
Jim A. Ricchiuti – Needham & Co. LLC: Hi, thank you. The question I have is just with respect to raw materials revenue in the quarter, I wonder if you just get the linearity of this. So I’m trying to get a better idea of how much visibility you have into what the customers’ needs are at any given point in the quarter?
Unidentified Company Representative: Well, I mean we do talk to our customers all the time and have talks on the ground and we get projections and we always have inventory to meet our needs, not sure how often I can answer that.
Jim A. Ricchiuti – Needham & Co. LLC: First, if you – I mean these are in a – in the given quarter, are you seeing more demand early in the quarter, is it spread evenly, just in the past quarter where you clearly had very strong materials revenue price, say probably stronger than people were anticipating as of the revenue flow during the quarter?
Unidentified Company Representative: It’s somewhat flat, I mean it’s gotten larger, but it’s not – I mean it’s pretty spread out, I mean it’s not one big jump.
Jim A. Ricchiuti – Needham & Co. LLC: Okay, it’s not a case where potentially there could be some inventory build; I mean clearly, there is some seasonality in Q4?
Unidentified Company Representative: Correct, correct.
Jim A. Ricchiuti – Needham & Co. LLC: Looking at just on the OpEx, Steve, it might have been used it, there was some guidance or some indication of how we should think about OpEx. could you just go over what we should be thinking about in terms of Q4 R&D and SG&A?
Unidentified Company Representative: What I said is that we expect year-over-year to be about 10%, and that’s excluding the 2G license and excluding materials – cost of materials. so if you just look at the expenses, we expect that [indiscernible] to be about 10% growth.
Jim A. Ricchiuti – Needham & Co. LLC: Okay, thanks a lot.
Unidentified Company Representative: Thanks, Jim.
Operator: Our next question comes from the line of Jagadish Iyer with Piper Jaffray. please go ahead.
Jagadish K. Iyer – Piper Jaffray, Inc.: Yes, thanks for taking my question, a very strong quarter on, the third quarter. I just wanted to understand two things, one is on the green, given that it was strength, was it attributable to only one customer or there were more than one customer on the green?
Unidentified Company Representative: Essentially, it was one customer.
Jagadish K. Iyer – Piper Jaffray, Inc.: Okay. and then just as a follow-up, what is your earlier read on 2014, is it going to be still driven my mobile devices, is it going to be one customer, is it going to be TV, any color that you can have on 2014 will be greatly appreciated? Thank you.
Unidentified Company Representative: We really can’t talk about 2014 at this time. the capacity today is in mobile. Steve mentioned a number of companies on TVs and flexible, but we really can talk about 2014 at this time.
Jagadish K. Iyer – Piper Jaffray, Inc.: Thank you.
Unidentified Company Representative: Thank you.
Operator: Our next question comes from the line Craig Irwin with Wedbush Securities. Please go ahead.
Craig E. Irwin – Wedbush Securities, Inc.: Good evening and congratulations on the solid quarter.
Unidentified Company Representative: Thanks, Craig.
Craig E. Irwin – Wedbush Securities, Inc.: First question, I wanted to ask is about the number of unique shipments to Japan and Korea in the quarter, if you could comment whether or not, there were multiple shipments to make up the demand or if this was in one or two pretty large deliveries made your key customers?
Unidentified Company Representative: The shipments that you ban – you are talking about our host materials and it’s not one or two shipments it’s pretty steady throughout the quarter.
Craig E. Irwin – Wedbush Securities, Inc.: So roughly weekly?
Unidentified Company Representative: We really can’t go through daily operations…
Craig E. Irwin – Wedbush Securities, Inc.: Yeah.
Unidentified Company Representative: It’s when the customer wants it.
Craig E. Irwin – Wedbush Securities, Inc.: Okay. And then as far as Korea is concerned, have you seen a similar sort of increase in the tempo of deliveries to Korea or is there still sort of what I understand previously where there were a couple of large shipments at limited points in the quarter?
Unidentified Company Representative: Well, we are basically shipping on a regular basis to our customers at a steady pace.
Craig E. Irwin – Wedbush Securities, Inc.: That’s very good to hear. The next thing I wanted to ask was your guidance certainly has a very narrow spread 142 to 144. I know that we are 40 days in, we’re almost 40 days in on the quarter, but stats suggest that you have little bit more visibility than maybe where we have been over the last several quarters. Can you comment about whether or not this is degree of confidence that you can understand your customer’s short-term demands or is this something that’s build more of a short-term forecast or can you maybe give us an explanation about the narrow spread for your fourth quarter guidance?
Unidentified Company Representative: Yes, I mean it’s – you asked a lot of questions, the answer is fairly simple is that we are very comfortable with the 142 to 144 range at this time.
Craig E. Irwin – Wedbush Securities, Inc.: Excellent, excellent, and then last question if I may, the new [indiscernible] that was being tried by a couple of your key customers for TVs, do you have an update there as far as what the feedback has been from the customer whether or not this is allowing them to get the saturation rates they need and if this is something that you think will probably start making commercial deliveries in the next few quarters?
Unidentified Company Representative: Those type of questions are really customer confidential and we really can’t talk about them on the call.
Craig E. Irwin – Wedbush Securities, Inc.: Understood. Thanks.
Operator: (Operator Instructions) Please limit yourself to one question and one follow-up per turn in the queue. We’ll take our next question from Brian Lee with Goldman Sachs.
Brian K. Lee – Goldman Sachs & Co.: Hey, guys. Just had a quick housekeeping question, Sid, you mentioned that in Q4 a reversal of NOLs, well, have you yet another one-time tax benefit in the quarter, did I hear that correctly?
Sidney D. Rosenblatt: That is correct.
Brian K. Lee – Goldman Sachs & Co.: Okay. And can you quantify what the – where the percentage rate or dollar amount that could be.
Sidney D. Rosenblatt: I really can’t at this time, it still being calculated to be honest. We’ll know when we do our K.
Brian K. Lee – Goldman Sachs & Co.: Okay and then on the same lines, I guess, the tax line has been a bit lumpy all year along, you are a full tax payer in June and then its kind of reversed here. What’s the kind of state of the state as we move into 2014, will you be paying the full tax rate or will it still just be the withholding on the Korean licensing payments? Thanks.
Sidney D. Rosenblatt: Well, from a cash standpoint, we clearly were using up our NOL. So from an actual cash payment standpoint, it will be – still the alternative minimum tax that we pay plus the Korean withholding tax. For our GAAP purposes, we will determine what our effective tax rate is and when we give guidance for next year, we will then deal with it at that time.
Brian K. Lee – Goldman Sachs & Co.: Thank you.
Steven V. Abramson: Okay.
Operator: Our next question comes from the line of Craig Irwin with Wedbush Securities. Please go ahead.
Craig E. Irwin – Wedbush Securities, Inc.: Thank you. Just one follow-up. So if there was a company – maybe Company A that was possibly considering making an investment in OLED manufacturing capacity, would it be logical to expect them to have negotiations with you early on about a potential licensing agreement or would you expect something to maybe mature further out up until to the horizon?
Steven V. Abramson: To be honest each of our customers are different. If somebody is going to invest in OLED manufacturing facility, it would have probably have some R&D effects and we would be discussing that with them today. But each customer is different.
Craig E. Irwin – Wedbush Securities, Inc.: Thank you.
Steven V. Abramson: Thank you.
Operator: Our next question comes from the line of Alex Gauna with JMP Securities. Please go ahead.
Michael Wu – JMP Securities, LLC: Hi, guys, it’s Michael Wu for Alex calling. Congratulations and thank you for taking my call. Returning to the question about green emitter growing faster than greenhouse material for the quarter, is there a fundamental relationship or attached rate we’re seeing that [indiscernible] put down while getting too far ahead of the other or what type do you find on the customer’s reading?
Darice Liu: I’m sorry. We couldn’t really hear you. Can you repeat the question?
Steven V. Abramson: Yes, we didn’t follow. Breaking up.
Michael Wu – JMP Securities, LLC: I’m sorry about that. So I was trying to ask you about green emitter material growing faster than greenhouse material. Is there an attach rate between the two, how we should think about going forward?
Steven V. Abramson: No, I don’t think there is any significant difference going forward, but it depends on the customer and when they order things and to some extent it just has to do with; one, retail; two, NSCC who resells it and one, we sell directly to the customer. And I don’t think there’s any real difference. I think it may just be order pattern.
Michael Wu – JMP Securities, LLC: I see. Okay, great. And so my follow-up, I was wondering if you can remind us if there is a long-term target gross margin?
Steven V. Abramson: Well, I mean we have talked gross margins on materials being in the 60% to 70% range and our middle range of materials being 70% to 80%.
Michael Wu – JMP Securities, LLC: Okay. Excellent. Thank you.
Operator: Our next question comes from the line of Jagadish Iyer with Piper Jaffray. Please go ahead.
Jagadish Iyer – Piper Jaffray, Inc.: Thanks for taking my question. One follow-up, Sid. Just wanted to find out when will your agreements of Tucson [ph] start to kick in and what could be the impact to your host margins from that? Thank you.
Sidney D. Rosenblatt: We are working with Tucson. There are not in commercial form at this time and I don’t expect them to have a significant impact on our margins.
Jagadish Iyer – Piper Jaffray, Inc.: Thank you.
Operator:
Sidney D. Rosenblatt: Thank you for your time today. We appreciate your interest and support and wish you and your families a wonderful holiday season. Thank you and good night.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for your participation and you may now disconnect.